Operator: Good afternoon and thank you for standing by. Welcome to Orion Energy Systems' Third Quarter Fiscal 2010 Earnings Conference Call. Your lines have been placed in a listen-only mode until the question and answer segment of today's call. This call is being recorded. If you have any objections you may disconnect at this time. I will now turn the call over to Victoria Paris, FD. Victoria, you may begin.
Victoria Paris: Thank you, Cynthia. And thank you for joining us for Orion Energy Systems' fiscal 2010 third quarter conference call. With me on the call today are Neal Verfuerth, Chairman and CEO; Jim Kackley, President and COO; and Scott Jensen, CFO. Before we begin, I'll read the Safe Harbor statement. Our remarks that follow, including answers to your questions, include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are generally identified as such because the context of such statements will include words such as believe, anticipate, expect, or words of similar import. Similarly, statements that describe future plans, objectives, or goals are also forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to materially be different. Those risks include among others matters that we have described in our press release issued this afternoon and in our filings with the Securities and Exchange Commission. Except as described in these filings, we disclaim any obligation to update these forward-looking statements, which may not be updated until our next quarterly conference call if at all. Now, I'd like to turn the call over to Neal.
Neal Verfuerth: Thank you, Victoria. Welcome everybody to the Orion Energy Systems' fiscal 2010 third quarter conference call. As you saw in the press release we issued this afternoon, we exceeded both our top and bottom line guidance with revenues of 19.3 million and earnings per share of $0.04 and generated positive operating cash flow for our fiscal third quarter. Our third quarter bookings which we began providing last quarter as a key metric for our business were 21.4 million. This included 3.4 million in financing deals both on the demand side which includes our OVPP contracts and the supply side which include our financing agreements for our photovoltaic or PV solution. During the quarter we completed our first solar purchase power agreement or supply side contract which accounted for 1.7 million of our total bookings. These deals similar to our OVPP contracts create additional recurring revenue streams for Orion. Scott will go into further detail on how these supply side financing deals are structured in his comments. As Jim discussed last quarter, we continue to focus on building out our renewable technology offering, which includes our PP solution. Today, some PV integrators are actually paying for just the option to have access to customers' roof. With the installed base we built up through our integrated lighting solution, we already have that access and the trust as an energy expert for our customers. After completing a few test sites in the second quarter, our first supply side finance agreement as well as our first sizable cash PV deal with Coca-Cola Enterprises in the third quarter are further validating the emerging opportunity for our renewable energy supply solutions created for Orion. Revenues in the quarter were driven by increasing order volume as we ramped up our wholesale and partner driven side of the business. In the third quarter, we saw a mix between retail and wholesale near the 50-50 mark. We continue to dedicate resources to building our wholesale network, providing our partners with the tools necessary to drive growth within our businesses. These investments continue to payoff as we secured some sizable deals with industry leading customers that have substantial facility footprints creating a beachhead into even a broader opportunity. We have historically experienced a level of seasonality or saturation following a very successful quarter in our wholesale channel as our partners and resellers look to complete projects that were closed in the previous quarter. As the revenue contribution of this channel grows, we will expect to see some of that seasonality continue on a quarter-to-quarter basis. That said, this channel brings significant value to our business in terms of favorable margin contribution as well as its ability to allow Orion to broaden its geographical footprint more economically and efficiently. We will continue to enhance the effectiveness of our partners and resellers through training programs at Orion University and teaching them to sell and integrate the technology the Orion way. On the national account side, we continue to make headway completing sizable projects for new and existing customers. During the third quarter, we added a number of new national accounts that maintain leading market positions across industries, which included a major retailer with stores throughout much of the United States and Western Canada. Again these initial projects represent a significant opportunity for potential revenue in the future. The customers' wins we saw in the third quarter continued to demonstrate our market leadership as an energy expert. In addition they evaluate the compelling value proportion of our solutions by saving our customers, significant dollars and energy cost and helping them achieve their sustainability goals. As we noted last quarter, Orion's superior technology delivers to our customers' energy cost savings of $0.38 per square foot translating into a reduction of more than 6.5 pounds of carbon from being delivered into the atmosphere and a reduction of electricity consumption of 4.9 kilowatt hours per square foot annually. During the quarter, we retrofitted nearly 43.7 million square feet in Q3 bringing our total area covered to more than 850 million square feet in 5374 facilities. Also in the third quarter, we captured business from well respected nationally known medical practice that installed our parking lot technology in a market estimated to have nearly 20 million outdated HID parking lots nationwide. This project exemplifies the growing opportunity of our parking lot technology not only in the commercial industrial sector, but also at office complexes, opening a new channel of business prospects for Orion. In addition to the exterior lighting technology market we have the potential to capitalize on enormous opportunity as we build out our renewable offering, which includes our PV technology. We have seen increasing customer demand from new ways to manage energy, consumption and reduce cost. Our renewable technology offering, which includes PV is a logical extension of our core business positioning us as a complete energy management company from energy generation to permanent low reduction creating a comprehensive solution that can truly take our customers off the grid. Despite a difficult start to our fiscal 2010, the improvement we have seen over the two last quarters gives us renewed sense of optimism as we look to close out the fiscal year. However, despite initial signs of recovery in the economy, we remain cautious as there is still a lot of uncertainty in the market today. Our guidance for the fourth quarter has taken into account two trends we have seen emerge over the last several years in terms of seasonality. First, given our customer base has historically been focused on commercial and industrial sector, our results tend to mimic CapEx budgeting which leads to an increase in committed projects being forced through at a calendar year end. Secondarily as I mentioned earlier, historically we have seen a level of saturation following very successful quarter for our partners and resellers as they look to complete projects closed in the previous quarter. That said, Orion is in an excellent position to build upon the momentum we have started to experience in the second and third quarters of fiscal 2010 and expect calendar 2010 to exceed results we saw in calendar 2009. Before I turn the call over to Jim, I want to briefly touch on an exciting milestone we surpassed in the fourth quarter. Since 2001, we have displaced 500 megawatts of capacity, which is the equivalent to the amount of electricity produced by a traditional fossil fuel power plant. This metric is significant to our core business as we market Orion as an energy management company that offers reductions in peak and base load electricity solutions to utilities. The end result is that our customers have reduced their energy cost by a collective $782 million, money they can carry through to their bottom lines. We continue to capitalize on trends relating to concerns around securing low cost energy, electric reliability, reduction of harmful emissions and environmental sustainability. The HID retrofit opportunity alone represents 20.6 billion square feet above and below the roof of commercial and industrial space. We will continue to use our integrated lighting solution to further expand our customer base while leveraging opportunities for further penetration through the sale of our next generation products such as our wireless controls, Apollo Light Pipes, exterior lighting fixtures and other renewable technologies. Orion is in an excellent position to drive growth in our business. We look forward to updating you as we move through the remainder of calendar 2010. With that I will turn the call over to Jim Kackley. Jim?
Jim Kackley: Thanks Neal. During our second quarter earnings call I mentioned that one of my goals in my new position was to strengthen an already solid organization. We moved aggressively during the third quarter to identify opportunities and made strategic decisions that will reinforce the structure that has supported Orion's expansion over the last several years. We continue to build our third party sales channel throughout the country helping them strengthen their ability to sell and install our technology while continuing to develop our internal sales capacity. One of our competitive advantages is our sales engine. Our continued reinforcement of our sales force is a vital component to capitalize on significant opportunities within our diverse product group. To that end, in the third quarter we recruited a talented and well known industry seasoned sales associate who will be charged with helping to further drive our national account sales. From a process standpoint, we have nearly completed installation of our Microsoft Navision software including the robust product configurator, a bolt-on solution in Navision designed to streamline the sales process both internally and externally. Importantly, this highly flexible sales tool will be an integral component to broadening our geographical footprint through our partner network enabling them to efficiently execute the sale from first point of contact through delivery. There are two specific areas of operations I'd like to comment on. First, our product margin for the quarter was 38.2%. This compares to a product margin of 34% for the third quarter of fiscal 2009. Despite the fact that product revenues were down 16.8% versus the prior year third quarter, we've been able to raise our product gross margin by more than 400 basis points. This significant improvement was achieved through the execution of our cost reduction efforts, including reducing production head count, streamlining plant operations to improve efficiencies and working hard to minimize discretionary spending and premium costs like overtime. It also underscores the ingenuity and determination of our operations team in helping us to remain cost competitive in these challenging economic times. Our margins are also supported by our ability to maintain prices as we are selling an energy saving solution rather than cheap lights. Second, our inventory balance at December 31, 2009 was $24.5 million. The increase in inventory from our most recent quarter was in response to concerns over ballast availability due to production shuttering in Asia and lengthening lead times of aluminum suppliers. With our promise to deliver our technology within two weeks of receiving an order, it’s imperative we have the necessary inventory to make the product. Orion sells energy savings and for our customers time truly is money. As an Orion Board member since the early days and now with two quarters behind me as President and Chief Operating Officer, I see Orion diligently executing on our plan. I'm pleased with the operating results, a much higher run rate in sales, strong gross margins, movement towards sustained profitability and much stronger operating cash flow. While there is still much work to be done in an unpredictable economy, I am very optimistic about the future at Orion. With that, I'll turn the call over to Scott to elaborate on the quarter's numbers, Scott?
Scott Jensen: Thank you, Jim. Our reported revenues for the third quarter of fiscal 2010 were 19.3 million compared to 22.4 million for the third quarter of fiscal 2009, which represents a decrease of 14%. Included in our quarterly product revenue is $200,000 related to a cash sale of our PV solar technology. Partner revenues for the quarter were 50% of total revenues up from 43% of total revenues in our most recent second quarter. For fiscal 2010 year-to-date, our partner revenues have contributed 43% of our total revenue. During the third quarter of fiscal 2010, we secured 27 new Orion virtual power plant megawatt supply contract, representing growth income streams of $1.7 million. Revenue for these customer projects will be recognized across the 24 to 60 month term of the agreements. If these projects have been structured as cash transactions, Orion would have recognized an additional 1.1 million of revenue in the quarter and increased income per share by approximately $0.02. Bookings for the quarter were 21.4 million, including 1.7 million for OVPP supply agreements and 1.7 million for solar purchase power agreements versus 23.3 million in the same period last year. For the nine months ended December 31, bookings were 57.2 million including 6.4 million of OVPP supply agreements compared to 57.1 million, including 800,000 of OVPP supply agreements during the first nine months of fiscal 2009. As a reminder on how we define bookings, let me briefly review. Our reported bookings have three components, first our cash bookings are based upon customer purchase orders received in hand. Second, our OVPP bookings are based upon the growth future revenue streams over the expected life of the agreement. We consider an OVPP booked business upon the customers' execution of the contract. As Neal mentioned, we completed our first solar PPA in the quarter. Since the deal terms are generally in excess of 10 years, we've defined PPA bookings as the discounted value of revenues from energy generation over the life of the agreement along with the discounted value of revenues anticipated for renewable energy credits for as long as the programs are currently defined to be in existence with the governing body. Our service revenues accounted for 10.5% of our total revenues for the third quarter. As Jim mentioned, our blended gross margin for the third quarter was 36.8%, up from 33.2% in the comparable prior year period. Our gross profit dollars decreased 300,000 to 7.1 million for the third quarter of fiscal 2010 compared to 7.4 million in the third quarter of fiscal 2009. Our service margins for the third quarter were 25% and we are within the normal expected range. G&A expenses for the third quarter were 3.1 million or 15.8% of revenue versus 2.4 million in the third quarter of fiscal 2009 or 10.9% of revenues. Year-over-year increases in G&A costs included legal expenses of $150,000, building occupancy cost for our corporate technology center of approximately $300,000, and the elimination of bonus reversals, which reduced prior year Q3 spending by a $150,000. Sales and marketing expenses for the third quarter of fiscal 2010 were 3.1 million or 15.9% of revenues compared to 2.7 million or 12.3% of revenues in the prior year period. As we've discussed on prior calls we've continued to invest in revenue generating opportunities. The increase in expenses from the prior year was due to compensation costs resulting from head count additions focused on opportunities in the utility, governmental, outdoor lighting markets and technical resources to support our controls product offerings. R&D expenses for the third quarter were $404,000 or 2.1% of revenues, up from 347,000 or 1.6% of revenues in the third quarter of fiscal 2009. Income from operations for the third quarter of fiscal 2010 was $576,000 decreasing from income from operations of 1.9 million in the prior year period. Net interest expense for the third quarter was $18,000 versus net interest income of $292,000 for the third quarter of fiscal 2009. This reduction in interest income was due to declines in market rates and also due to the changing cash balances over the last 12 months resulting from the execution of our share repurchase program and the construction of our technology center. Our income tax benefit for the third quarter of fiscal 2010 was 249,000 versus income tax expense of $1 million in the prior year third quarter. Our annualized effective tax benefit rate at quarter end increased to 24.2%. This increase in benefit rate contributed $0.02 to the third quarter earnings per share and resulted from a decrease in non-deductible stock option expense which was driven by reduced head counts from our cost reduction initiatives and the change in estimate to the annualized pre-tax income. Our fully diluted income per share for the third quarter of fiscal 2010 was $0.04 on weighted average fully diluted shares outstanding of 22.6 million. That compares to fully diluted income per share for the third quarter of fiscal 2009 of $0.04 on a weighted average fully diluted shares outstanding of 26.4 million shares. As of December 31, we had 22 million common shares outstanding. In addition, we have warrants and options totaling 3.9 million shares outstanding. Turning to the balance sheet, we finished the quarter with 32.9 million in cash and equivalents and short term investments on hand compared to 34.4 million at September 30, 2009. We continue to maintain our investments in short term highly liquid vehicles to provide for maximum liquidity. Related to our cash flows, we generated cash flow from operations of $3.7 million during the quarter. We remained committed to continuing to invest in the growth of our OVPP and OTV equipment finance programs. Turning to our outlook for the fourth quarter, we are anticipating revenues to be between 18 million and 21 million. Earnings per share for the fourth quarter of fiscal 2010 are estimated to be between a loss of $0.01 and earnings of $0.04 per diluted share. With that I would like to turn the call over to the operator for Q&A, Cynthia?
Operator: Thank you. The question-and-answer session will be conducted electronically. (Operator Instructions). We will take our first question from Glenn Wortman with Sidoti and Company. Please go ahead.
Glenn Wortman - Sidoti & Company: Yeah. Good evening, everyone.
Neal Verfuerth: Hello, Glenn.
Jim Kackley: Hello, Glenn.
Glenn Wortman - Sidoti & Company: Can you just go over again your expectations for the fourth quarter between the national accounts and then your wholesale channels, it sounded like you're expecting wholesale channels maybe to be down a little bit and national accounts to be up a little bit?
Scott Jensen: Yeah, Glenn, this is Scott. As we talked about, you had a good quarter. Q3, the mix was approximately 50% and typically what we've experienced as our wholesale channel has grown is that our partners are focused on completing those projects that they've been working on. So we tend to see a little bit of a drop off in the mix. Having said that we continue to add partners, I believe we're up to about 98 partners at the end of December now. And we're just continuing to invest in that wholesale channel.
Glenn Wortman - Sidoti & Company: Okay. You guys put up a pretty high gross margin relative to past quarters, can you just give us a sense of how high you think that number can go on a given revenue say for example on 25 million during the quarter, do you guys have any numbers you can provide?
Scott Jensen: We haven't gotten that granular, Glenn. Needless to say for anybody who has seen our facility, you've seen the excess capacity that we have and certainly we have a great opportunity to leverage the benefit in our gross margins by driving more volume through our plan.
Glenn Wortman - Sidoti & Company: Okay. And then finally just on the expense side, how should we think about of your –various operating expenses going forward here?
Scott Jensen: I think we've kind of normalized a little bit in terms of run rate G&A and both selling expenses have been about 3 million a quarter, R&D has been a little over 400,000 that moves may be between 4 and 500,000. I think certainly we're going to continue to invest in human capital as we see opportunities and talent present itself. But, right now I think what you've seen out of the third quarter is what I would expect to see carrying forward.
Glenn Wortman - Sidoti & Company: Okay. Thank you very much.
Operator: (Operator Instructions) And we will take our next question from Brian Kremer with Roth Capital Partners. Please go ahead.
Brian Kremer - Roth Capital Partners: Good afternoon guys.
Neal Verfuerth: Hey Brian, how are you doing?
Jim Kackley: Hi Brian.
Brian Kremer - Roth Capital Partners: Doing well, thank you. A couple of questions here on, going back to the gross margins, I'd assume it's partly due to the mix as well this quarter. Is this something, I mean is it sustainable, I mean the volume wasn’t up that much, so, I'm assuming it was more related to a mix of product versus volume necessarily? Or is it just as Jim was referring to getting some of this cost out that you're going to see continuing going forward, that savings?
Scott Jensen: That's certainly our expectation, Brian. We didn't experience any significant mix shift. Now having said that I would certainly say that some of our new product offerings, wireless, light pipes carry higher gross margins on them. So as that volume tends to increase, we might get a mix benefit. But really our gross margin benefit in the quarter was just a function of the cost reductions in place and executing on the plan.
Brian Kremer - Roth Capital Partners: Okay. Okay. And then what looks based on numbers out there, was a strong quarter, I look at bookings, if I'm going to try to find something here, 21.4 versus 20.3 obviously it's up, so that's a positive. It's not I guess may be just consistent with what we're seeing in the industrial sector manufacturing, it’s the slow growth, it’s not a rebound and you guys certainly haven't kind of spring back, you guys have never talked that way either, it’s just optimism and so I guess the 21.4 versus the 23 is a sign of that?
Scott Jensen: Yeah. I think we feel like the marketplace is improving. Having said that it's not where it was two years ago. And we are still engaging customers and trying to anticipate behavior and execute on our sales process and getting in front of customers. As it related to the quarter, our cash bookings were up a little bit versus the prior quarter, some of our finance OVPP deals were down a little bit and it's just really a function of customers working through the financials and making decisions and the best thing we can do is stay in front of them.
Brian Kremer - Roth Capital Partners: Okay. And then it’s obviously work-in progress, pilots out there, the outdoor lighting when - is it six months away where you think you're really going to start seeing large orders some traction there, is it still just too hard to say?
Neal Verfuerth: This is Neal. I think it’s still hard to say, we have certainly seen larger orders, individual orders, but it takes time - it's a new concept and it’s I liken it here internally to kind of seeding the clouds, getting people exposed to the technology, putting together a proposal, let them get comfortable with it, let their people drive, literally driving in on the parking lot and accessing the building, and it’s just part of the process, introducing a new product and really a new concept into the market. But we are very optimistic what we've seen so far. We've had a couple of good strategic wins against the LED players out there and some significant kind of marquee accounts and we see that just building and building over the course of time.
Brian Kremer - Roth Capital Partners: Okay. Great. I appreciate it.
Neal Verfuerth: Thank you.
Operator: We will take our next question from J.J. Abodeely with Paragon Investment Management. Please go ahead.
J.J. Abodeely - Paragon Investment Management: Hey guys.
Neal Verfuerth: How are you doing?
J.J. Abodeely - Paragon Investment Management: Good. I got a question about bookings, I think you've said previously that you recognized 50% of revenue when the order’s placed and that would be in the bookings number and then 50% when it's installed, is that correct?
Scott Jensen: So, J.J., from a bookings standpoint on a cash deal, when we have that customer purchase in hand, the entire value of the bookings is recorded in our numbers from a revenue generating perspective or call it our financial GAAP revenue. We record the revenue on the product shipments when we ship the product and then on the installation or services when the project is completed.
J.J. Abodeely - Paragon Investment Management: So the revenue recognition is on, it's entirely on shipping or is that 50% shipment, 50% like completion of the installation?
Scott Jensen: The mix on a job that has services included tends to be about 70% related to materials, so the product portion at about 30% on average to installation, so we make the product. We ship it. We record the revenue on the product. And then installation project can take anywhere from two weeks to several months depending upon complexity size. When the project is installed and the customer is satisfied and we recognize the service component of the revenue.
J.J. Abodeely - Paragon Investment Management: Okay. And then also on the gross margins, a couple of people hit on it, I think we're probably trying to get a sense for what that gross margin can be at some given level, whether that's a midpoint of your revenue guidance or at some fixed level, I think someone mentioned 25 million, do you have an idea what you're working towards, where your target is, or what you're capable of?
Scott Jensen: We're certainly looking at that number and one of the things that we wanted to see was to have a few quarters under our belt of just actually executing on the plan and recognizing that we could support 19, $20 million without needing to increase head count to our premium costs. So, we're working through that. We're very pleased with the performance of our operations group and maintaining our customer service requirements and doing it in a very cost effective manner that impacts our gross margin in a positive way as we've seen in our numbers for the most recent two quarters. We are still very optimistic that we have some run rate ahead of us in terms of improving that as we can put more and more volumes through the plan.
Jim Kackley: This is Jim. As I commented, obviously there are two sides of this equation and the revenue side has got to stay up and that's something that we concentrate on. We do that by emphasizing that we are selling energy management or energy savings, but that's a dimension that we have to keep our eye on as well.
J.J. Abodeely - Paragon Investment Management: Right. And then prior to the credit crunch, I think you guys were sort of saying that about 40% of the deals you are seeing were closing in 60 days or less and then kind of things were slowing down in the winter and spring, that number dropped to 10% I think you had mentioned. Where do you see things today? Are things still taking longer or how do they compare to February for example?
Neal Verfuerth: This is Neal. I would say today is probably a good example of what likely is yet to come. We had a large customer in here that we have done quite a bit of work for in earlier years and probably not much of anything in the last year, year and a half, when everything is kind of on hold. And now they sent a contingent here today to visit the technology center and talk about where we see things from what's the next opportunity for them to finish off what we restarted and then what are the next technologies you know the Apollo Light Pipe, the wireless, PV, et cetera. And I think that's a pretty good representation of what we're seeing with all of our customers. They were in the last several quarters kind of on the just holding pattern, not doing anything. Then of course they had cash at the end of the year that they let lose just for probably tax planning more than anything else. And then now they are starting to look at reloading and cautiously optimistic is probably the best way to describe them, and we of course mirror that same feeling based on what we were seeing from our customers. But they are coming to visit, they are letting them travel, letting these folks travel again and they are talking about reloading budget, so all are moving in the right direction.
J.J. Abodeely - Paragon Investment Management: So the biggest opportunity is taking kind of the existing light fixture customers and moving them down to that phase II with the wireless controls and the light pipes?
Neal Verfuerth: Well, yeah, just given the fact that one of the things about when you are selling a technology in really a whole new business opportunity, the customer acquisition cost are significant investments. So our pipeline has tremendous value not only from the ones that we've got proposals and SFVs [ph] in the facilities but also our existing customer base they know us, they trust us. We've saved them hundreds of thousands or millions of dollars and now so much easier conversation to go back as Orion as opposed to somebody out there green fielding as a competitor, they don't know anything about them. They don't know if they can deliver.
J.J. Abodeely - Paragon Investment Management: Sure and then lastly I wonder if you could comment, Neal, on the sort of what you see happening in Washington and I think there is a retrofit portion of the Clean Energy and Security Act that was focused on retrofitting, can you comment on what you see happening there?
Neal Verfuerth: The only thing that's absolute today, there is something that's been around for sometime, that's basically all the EPAC [ph] the similar to depreciation components. As far as a lot of stimulus dollars we're all hearing about, we are not seeing a lot of cash flowing into the market. Utilities are still out there very active and many of them are re-upping and even increasing their demand side management project spends, but as far as coming from the Federal government, I think it's municipally driven and there is a lot of more loan guarantees and what not than outright cash grants or something.
J.J. Abodeely - Paragon Investment Management: And the utility rebates are on a per fixture basis, is that right?
Neal Verfuerth: They vary. They can be what they call a prescriptive or custom, and it really depends on the utility and the complexity of the project and sometimes quite frankly, we try to go for either one where we can maximize the incentive for our customers.
J.J. Abodeely - Paragon Investment Management: Sure. Okay. Thank you very much.
Neal Verfuerth: Thank you.
Jim Kackley: Thank you.
Operator: We'll take our next question from Shawn Boyd with Westcliff Capital Management. Please go ahead.
Shawn Boyd - Westcliff Capital Management: Hey, congrats on the quarter.
Neal Verfuerth: Thanks, Shawn. How are you doing?
Jim Kackley: Thank you.
Shawn Boyd - Westcliff Capital Management: Doing well. Neal, you just mentioned the pipeline there and I want to think about this for a second in terms of the bookings that we've just shown at 21.4 million. The customers are reloading budgets are cautiously optimistic are traveling again. Do you get a sense from just seeing the activity in that pipeline right now that we might be, with this being the last quarter of the year, I would imagine guys were incentivized, get business done within the company, do you think that we get a -- we might see another stair step up here in the final quarters for the company?
Neal Verfuerth: Of course, I can't see with absolute certainty, but I'd like to think so just based on the activity and the attitude. Just a few quarters ago, it was pretty much doom and gloom, nobody was traveling, nobody even wanted to return phone calls. They were – we were all in the survivor mode. I think we've gotten beyond that but yet there is still, as you see everyday represented in the media that's still, it’s still volatile. And again people are stepping out a little bit, but it's certainly nothing as Scott pointed out like it was a couple of years ago.
Shawn Boyd - Westcliff Capital Management: Okay. Okay. That's helpful. And also kind of within this question, you got to think about national accounts and one of the things that I'm struggling with is probably just my newness to the company. But the national accounts would be how much of revenues today, how can we quantify that, and may be talk just for a minute about the opportunity as to how many national accounts you think you could have or also maybe the penetration you have. So in another words, average revenue international account and how far penetrated you are within that customer?
Neal Verfuerth: We continue to update our technology to give us more visibility into that. As we've been saying we're getting more and more business through the partners. So much of the visibility we had historically because we were the retailer essentially, we don't have as much with some of the partners. So we continue to try to build up our database so we can give the Street a better understanding in where our penetration is. We're putting a lot more focus now on geography and penetration and a geographic footprint regardless of whose name is on the door because of the efficiencies gained by just being more efficient, deploying sales resources on a in market basis, and growing literally from door to door to door in the industrial park regardless of whose name is on the door.
Shawn Boyd - Westcliff Capital Management: Got it, got it. So at this point, you've got 98 different partners out there?
Jim Kackley: 98, what I will describe, Shawn, is partner locations. So some of our partners might have more than one location in a geography.
Shawn Boyd - Westcliff Capital Management: Got it. Okay. All right. And just last question, jumping over to tax rate, Scott, can you help us a little bit on what we should expect, is that tax rate to go back into the 15, 20% level, or what we see on that for the last quarter of the year?
Scott Jensen: The tax rate for the last quarter of the year should stay in that 24%, 25% range. Certainly as we get closer to the end of the year, there is a little less variability around the effective tax rate, it can't move around so much with two, three remaining quarters. So for this year, we've got that I think pretty dialed in or it may move a point or two but it shouldn’t move significantly.
Shawn Boyd - Westcliff Capital Management: Okay. And any thought on fiscal 2011 on the tax rate issue?
Scott Jensen: Not yet.
Shawn Boyd - Westcliff Capital Management: Okay. Good enough. Thank you.
Neal Verfuerth: Thank you.
Jim Kackley: Thank you.
Operator: And at this time, there are no further questions. Ladies and gentlemen, this will conclude today's conference call. We thank you for your participation.
Scott Jensen: Thank you.